Operator: Good morning ladies and gentlemen, and welcome to Baxter International’s fourth quarter earnings conference call. (Operator Instructions) I would now like to turn the call over to Miss Mary Kay Ladone, Vice President Investor Relations of Baxter International. Miss Ladone, you may begin.
Mary Kay Ladone: Good morning everyone and welcome to our fourth quarter 2009 earnings conference call. Joining me today are Bob Parkinson, CEO and Chairman of Baxter International, and Rob Davis, our Chief Financial Officer. Before we get started, let me remind you that this presentation including comments regarding our financial outlook, new product developments, and regulatory matters, contain forward-looking statements that involve risks and uncertainties, and of course our actual results could differ materially from our current expectations. Please refer to today’s press release and our SEC filings for more details concerning factors that could cause actual results to differ materially. In addition, in today’s call non-GAAP financial measures will be used to help investors understand Baxter’s ongoing business performance. A reconciliation of the non-GAAP financial measures being discussed today to the comparable GAAP financial measures, is included in our earnings release issued this morning and available on our website. Now I’d like to turn the call over to Bob Parkinson.
Bob Parkinson: Thanks Mary Kay, good morning everyone, appreciate you calling in this morning. We are very pleased with our fourth quarter and full year 2009 financial results that were reported earlier this morning. As you saw 2009 was another great year for our company as we again achieved record sales, earnings, and cash flow despite an uncertain macro environment and we continue to believe that we’re very well positioned for 2010 and beyond. Worldwide we succeeded in driving growth through geographic expansion, leveraging the benefits of our diversified healthcare model, while selectively pursuing business development initiatives and increasing our investment in research and development. While we met or exceeded expectations in virtually all key financial metrics for the year, we’re particularly pleased with the quality of the results and the strength of our overall financial position which affords us the flexibility to continue to invest in R&D and select promotional activities to enhance future growth and shareholder value. While Rob will provide more detail on our fourth quarter financial results and also the outlook for 2010 in just a few minutes, I’d like to take a moment at the outset to highlight just a few key points. First as you saw in the press release issued this morning, adjusted EPS of $1.03 per diluted share increased 13% versus the prior year and was in line with our prior guidance. Full year adjusted EPS of $3.80 per diluted share increased 12% which exceeded our original guidance of $3.70 to $3.78 per share and is also in line with our longer-term growth objective of 11% to 13%. Our 2009 performance was primarily the result of continued margin expansion, derived from favorable product and business mix, price improvements, and enhanced manufacturing and cost efficiencies as well as expense leverage and benefits derived from our ongoing share repurchase program. Fourth quarter sales growth excluding FX was 6% and excluding transfusion therapies for both years, sales increased 7%, very consistent with our sales growth over the last few quarters. I continue to be pleased with the improvement in two key value metrics, gross margin and operating margin. On an adjusted basis gross margin in the fourth quarter was 51.8% and operating income as a percentage of sales was 23.4%. For the full year both metrics showed significant year over year improvement and represent new record levels for our company. As we previously mentioned and highlighted in detail at our investor conference just this past September, we’re advancing and expanding our product pipeline with continued investment in R&D which totaled $917 million for the year, an 8% increase over last year’s levels on an adjusted basis and an increase of 11% excluding currency. Over the last 12 to 18 months we’ve initiated 14 Phase III clinical trials and advanced numerous early stage programs that have the potential to profoundly impact the treatment and delivery of care for chronic diseases like Alzheimer’s, hemophilia, end stage renal disease, immune deficiencies, as well as public health threats like pandemic and seasonal influenza. A few key highlights from 2009 include the following. First, we completed patient enrollment in a pivotal Phase III trial for the subcutaneous administration of Gammagard liquid with [enhance] to treat primary immune disease. We expect to complete the trial later this year and file for approval in 2011. We continue to actively enroll patients in our Phase III clinical trial of Gammagard Liquid as a possible treatment for Alzheimer’s disease. More than 50% of the patients have now been enrolled in the 360 patient study and we expect to complete enrollment by the end of this year. Preliminary results are expected in late 2012. In hemophilia, we advanced the development of the first recombinant therapy for people with von Willebrand disease. This is the first and only recombinant replacement protein for von Willebrand disease and we expect to complete the Phase I study by the end of this year. In our regenerative medicine business we initiated a Phase III study evaluating Tisseel, fiber and sealant as a hemostatic agent in vascular surgery and completed a Phase III study evaluating the use of Artiss fiber and sealant in facial surgery in the United States. In vaccines Baxter transitioned from pandemic preparedness to full-scale production and supply of Celvapan our H1N1 vaccine. We initiated commercial production within 12 weeks of receiving the pandemic virus strain and received the positive opinion from the European medicines agency. Additionally our viral cell culture based seasonal influenza vaccine, [Preclusal] is making excellent progress through the clinical and regulatory process. We have initiated the filing process in Austria and the Czech Republic and expect to file under an expanded mutual recognition procedure in Europe in 2010. In the US we recently completed Phase III clinical trials in adults and the elderly and are currently finalizing details related to the filing process and timeline. In the renal business we submitted an investigational device exemption or IDE, to the FDA for a new home hemodialysis system. We expect to begin clinical trials later this year and launch this technology in select markets by the end of 2011. And finally in our medication delivery business we introduced Hylenex for the treatment of pediatric hydration and launched [Ovamil] our latest triple chamber container system for [inaudible] nutrition in select international markets. Through continuing focus on innovation, investment and collaboration, we remain focused on advancing new therapies, improving the safety and cost effectiveness of treatments expanding access to care and most importantly providing life saving and life sustained therapies to patients around the world. I’d be happy to address any questions regarding pipeline programs and their status during our Q&A later this morning. In closing I would say the building momentum of our pipeline, continuing strong financial results reinforce the strength of the diversified healthcare model and reflect our ability to achieve the longer-term financial objectives that we presented at our investor conference in September. We believe we have established a strong track record of consistently improving our financial profile and executing our strategy and we’re confident in our ability to sustain that in the future. Before I pass the call over to Rob I’d like to briefly mention that we recently received a not yet published warning letter concerning our manufacturing facility in Lessines, Belgium. The letter identifies improvements that we need to make in certain processes and controls relating to the filling and finishing of Gammagard Liquid. You need to know that there’s been no interruption in our operations and there have been no adverse events or product complaints that have been associated with the issues identified. Clearly we’re working with the agency to resolve any concerns in short order. As this will likely become public in the next few days I wanted to take advantage of our call this morning to give you a heads up. If you have any follow-up questions obviously I’d be happy to address them in the Q&A. So with that, let me turn the call over to Rob.
Rob Davis: Thanks Bob, and good morning everyone. As Bob mentioned we are pleased with the strength and quality of our fourth quarter results and our financial performance throughout 2009. Earnings per diluted share in the quarter excluding special items, were $1.03 per diluted share and were in line with our guidance of $1.02 to $1.04 per share. These results reflect strong sales, margin expansion, continued investment, and solid operational performance across our business portfolio. As we mentioned in our press release our GAAP results included an after-tax special charge totaling $56 million or $0.09 per diluted share. This charge is for actions, the majority of which have already been completed, that are associated with the ongoing optimization of certain manufacturing and business operations around the world and include noncash fixed asset write-offs and severance. Now, let me briefly walk you through the P&L by line item before turning to our financial outlook for 2010. Starting with sales, worldwide sales totaled $3.47 billion in the fourth quarter and increased 11%. Sales growth excluding foreign currency was 6% with balanced growth across our global business portfolio. Sales growth in the US was 5%. International sales increased 15% on a reported basis and excluding foreign currency sales growth was 7%. Excluding foreign currency and transfusion therapies transition service revenues from both years, total Baxter sales increased 7% consistent with the last several quarters and in line with our expectations. For the full year sales increased 2% to $12.6 billion and excluding foreign exchange sales growth was also 7% for the full year. In terms of individual business performance, let me start with BioScience, global sales in the fourth quarter totaled approximately $1.5 billion and increased 12%. Excluding foreign currency BioScience sales increased 7% compared to a very strong Q4 of 2008 when constant currency growth was 17%, the highest quarterly growth of that year. For the full year global BioScience sales grew 5% to $5.6 billion. Excluding foreign currency sales increased 10% with solid growth across all major product categories offsetting lower sales of our FSMB vaccine particularly in the first half of 2009. Within the product categories, recombinant sales of $564 million increased 11% on a reported basis and excluding foreign currency sales increased 6%. Full year sales of $2.1 billion increased 5% and excluding foreign currency full year sales growth grew 9%. Overall we are very pleased with the performance of the recombinant franchise. Clearly this can be attributed to the continued success of Advate, with 2009 global sales advancing nearly 20% on a constant currency basis to $1.7 billion as we remained focused on improving standards of care around the world and driving conversion. Moving on to plasma proteins, which includes a broad array of proprietary and differentiated products including Fieba, an inhibitor therapy, Aralast, a treatment for hereditary emphysema, Flexbumin or Albumin provided in a flexible plastic container, as well as plasma derived Factor 8. In the fourth quarter global plasma protein sales were $380 million and increased by 15%. Excluding the impact of foreign currency plasma protein sales increased 10% primarily due to expected tenders that drove strong international sales. In the US growth of Fieba and Aralast offset a difficult comparison to last year when sales of this category grew 18%. For the full year plasma protein sales totaled $1.3 billion and increased 17% on a constant currency basis, as a result of strong underlying global demand and favorable year on year price improvements across the entire plasma protein portfolio. In antibody therapy, fourth quarter sales of $351 million advanced 14% and excluding foreign currency sales increased 10% and were significantly impacted by strong demand outside the US. Antibody therapy sales in the US increased 4% due a number of factors including somewhat lower market growth resulting from general macroeconomic conditions, inventory adjustments in the channel, and some modest share loss. For the full year antibody therapy sales totaled $1.4 billion and increased 14% on a constant currency basis driven by higher global demand and year on year price increases. I’d mention that we remain confident in the underlying fundamentals of this business and have not changed our outlook of mid to high single-digit growth and demand over our LRP. Sales in regenerative medicine which includes our bio surgery products, totaled $125 million and increased 24%. Sales excluding foreign currency grew 18% and continued to reflect robust growth of Floseal. Revenues in the other category totaled $98 million versus $113 million last year. This expected decline is a result of the difficult comparison to last year resulting from approximately $60 million in sales primarily related to a large order which was partially offset by approximately $40 million in sales of H1N1 we recognized in the fourth quarter of this year. In medication delivery fourth quarter sales totaled $1.3 billion, an increase of 12% on a reported basis. Excluding foreign currency medication delivery sales grew 7%. For the full year medication delivery sales of $4.6 billion increased 2% and excluding foreign currency sales also increased 7% exceeding our full year guidance of 5% to 6% growth and representing the third consecutive year of accelerating revenue growth in this business. Turning to the product categories, IV therapy sales totaled $438 million in the quarter and grew 11%. Excluding foreign currency sales increased 6% and were driven by increased demand globally for IV solutions and nutritional products as well as improved pricing, a trend that continued throughout 2009. Global injectable sales increased 14% to $479 million in the fourth quarter. Excluding foreign currency sales grew 9% due to increased pharma partnering sales, growth of select premixed drugs, and certain multi source generics as well as strong growth of our pharmacy compounding business outside the US. Infusion system sales totaled $246 million and increased 11%. Excluding foreign currency sales were up 7% reflecting positive growth for the first time this year as strong sales of Sigma Spectrum pump more than offset lower colleague remediation revenues. And finally anesthesia sales totaled $140 million in the fourth quarter and increased 7%. Excluding foreign currency sales increased 4% driven by growth of both Suprane and Sevoflurane. I would mention that while we did see some quarterly growth volatility throughout 2009 in this category we were pleased to see improved sequential growth throughout the year and totaled approximately $500 million for the full year 2009, an increase of 10% on a constant currency basis. Moving on to renal fourth quarter sales totaled $625 million and increased 12% on a reported basis. Adjusting for foreign currency sales increased 6%, also the highest quarterly growth rate of the year. Renal sales for the full year 2009 totaled $2.3 billion and declined 2%, with more than 80% of sales outside the US, currency negatively impacted full year growth by six points. Excluding foreign currency sales increased 4% in line with our expectations. US sales increased 2% and international sales increased 14% on a reported basis. Excluding foreign currency international sales were up in high single-digits. Global hemodialysis sales of $116 million increased 17% and include approximately $15 million of sales related to the acquisition of the hemofiltration business that was completed in the third quarter. Excluding foreign currency hemodialysis sales increased 11%. Globally PD sales totaled $509 million and increased 11% on a reported basis. Excluding foreign currency global PD sales increased 5% due to continued patient gains in the US, Latin America and Eastern Europe and double-digit growth across Asia. In fact global PD patient growth was approximately 8% for 2009, an acceleration from 2008. Turing to the rest of the P&L and starting with gross margin adjusted gross margin in the fourth quarter of 51.8% improved by 60 basis points versus last year. Foreign currency negatively impacted the gross margin percentage by approximately 80 basis points offsetting strong year over year operational expansion across all three businesses. For the full year I’m pleased to report that our gross margin of 52.4% improved 170 basis points versus the 50.7% margin achieved in 2008 which was in line with our guidance. Turning to SG&A, adjusted SG&A of $739 million in the quarter increased 10% compared to prior year. Excluding foreign currency SG&A increased in mid single-digits. SG&A for the full year of 2009 was $2.7 billion, similar to last year and excluding foreign currency SG&A was up in mid single-digits. SG&A as a percentage of sales was 21.4%, an improvement of 40 basis points over the prior year. R&D spending of $246 million in the quarter increased 12% on an adjusted basis and excluding foreign currency R&D grew in the mid single-digits. For the full year R&D spending of $917 million increased 8% and excluding foreign currency growth was 11%. This is the continued result of investments we are making across all three businesses, particularly in many of the programs that Bob highlighted earlier in his opening comments. As a result of gross margin expansion and operational leverage our adjusted operating margin was 23.4% in the quarter and 23.7% for the full year in line with our guidance and on a full year basis an historic level for the company. Interest expense was $25 million compared to $14 million last year and other was $7 million of income as foreign currency gains more than offset miscellaneous expenses. Our tax rate was 20.4% for the quarter and 19.1% for the full year and finally as previously mentioned adjusted EPS in the fourth quarter was $1.03 per diluted share, an increase of 13% and adjusted EPS for the full year was $3.80 per diluted share reflecting an increase of 12%. Turning to cash flow we had another strong year, cash flow from operations totaled $2.9 billion, an improvement of approximately $400 million compared to last year. DSO ended the year at 51 days which is slightly higher than last year. However this increase is entirely due to the mix of receivables outside the United States as our DSO in the United States declined slightly from the prior year period. As we’ve mentioned in the past the macroeconomic environment has not resulted in any meaningful impact to our overall DSO results. Inventory turns at 2.5 turns improved sequentially and are similar to last year. Capital expenditures for the year totaled approximately $1 billion, compared to $954 million last year as we continue to invest in appropriate capacity across our businesses to support our future growth. And lastly as we commented in this morning’s press release during 2009 we paid dividends totaling approximately $632 million, an increase of 16% versus last year and repurchased 23 million shares of common stock for approximately $1.2 billion. On a net basis this amounts to repurchases of 15 million or $931 million on a net basis which exceeded our guidance of $750 million in net repurchases for 2009. Overall I’m particularly pleased with our ongoing ability to generate strong cash flows. We continue to return significant value to shareholders as a result of our improved financial flexibility, capital allocation strategy, and disciplined financial management while accelerating investments in R&D both internally and through business development activities that will position us well for future growth. Finally let me conclude my comments this morning by providing our financial outlook for the first quarter and full year 2010, before turning the call back to Bob. First, for the full year 2010 as you saw in the press release we expect earnings per diluted share of $4.20 to $4.28. Its important to note that this guidance does not reflect any impact of potential US healthcare legislation reform. As you know this is an evolving situation. We will continue to monitor the legislative process and we will provide an update to our guidance if and when its appropriate to do so. By line item of the P&L we expect full year sales growth excluding the impact of foreign currency of 5% to 7%. This includes transfusion therapy’s transition service revenues of approximately $30 to $40 million versus $75 million in 2009, impacting our sales growth by approximately 50 basis points. In addition based on our outlook for foreign exchange rates, we expect our full year reported sales growth including the benefit of foreign exchange of 7% to 9% while sales growth excluding foreign currency will be fairly consistent throughout 2010. The foreign currency benefit on sales will obviously be greater in the first half of 2010 than in the second half of the year. Let me also remind you that we face a difficult comparison in the first half of the year particularly in BioScience given higher growth rates in the recombinant, plasma proteins, and antibody therapies categories. For the full year we expect gross profit as a percentage of sales to be flat as significant hedge gains recognized in 2009 offset operational improvement of more than 50 basis points. I’d also mention that foreign currency hedge gains significantly benefited gross margin in the first quarter of 2009. Therefore we expect gross margin in the first quarter of 2010 to be approximately 80 basis points lower than last year. Our gross margin is expected to improve year over year beginning in the second quarter, ending 2010 with a full year margin similar to 2009. We expect both SG&A and R&D to grow in mid to high single-digits driving year over year operating margin expansion. We expect interest expense of approximately $100 million and other expense to total approximately $60 million. We expect our tax rate to approximate 19% to 19.5% and finally we expect our full year average share count of 606 to 608 million shares, assuming net repurchases totaling approximately $750 million. From a cash flow perspective we expect cash flow from operations of approximately $2.9 billion. Excluding a $300 million pension contribution that was made at the beginning of 2010, cash flow from operations would total $3.2 billion. In addition we expect capital expenditures to total approximately $1 billion. Now to expand on the sales assumptions for each of the three businesses, for the full year 2010 we expect renal sales excluding the impact of foreign currency to increase in the range of 5% to 7%. This is the result of solid mid single-digit growth in PD and HD growth in the low double-digits. For medication delivery we expect sales excluding foreign currency to also grow in the 5% to 6% range. This will be driven by growth of 5% to 7% for the IV therapy and global injectables businesses, and mid single-digit growth of anesthesia and infusion systems. Finally for the BioScience business we expect sales growth excluding foreign currency to be in the 6% to 8% range. First we expect recombinant sales growth in the 6% to 8% range, second we expect plasma protein sales to grow in mid to high single-digits, and antibody therapy sales to grow in the mid single-digit range. Third we expect the regenerative medicine business to again grow in mid teens. And finally we expect the other category to grow in mid single-digits. This guidance includes $85 million of advance purchase agreement revenues and H1N1 sales compared to $75 million in 2009. For the first quarter as we mentioned in our press release we expect earnings per diluted share of $0.92 to $0.94 and sales growth excluding the impact of foreign currency of 5% to 7%. Based on our outlook for foreign exchange rates we expect reported sales growth of approximately 10% to 12%. Now let me turn the call back over to Bob for his closing comments.
Bob Parkinson: Thanks Rob, before we open the call to Q&A, let me make just a few closing comments. Clearly 2009 was a very successful year, financially, operationally, and strategically. While we’re certainly not without challenges we believe our company is very well positioned for 2010 and beyond. While no company including Baxter is completely immune to the macro environment given the medically necessary nature of our products, our diversified healthcare model, and strong market positions, we’re confident in our ability to drive improved performance. Our 2010 outlook is aligned with our long-range strategic plans and the solid underlying fundamentals we see in the markets in which we operate. And we remain committed to driving growth while investing in innovation and business development activities that position us for enhanced growth in the future. So with that, at this point let’s open up the call to Q&A.
Operator: (Operator Instructions) Your first question comes from the line of Mike Weinstein - JPMorgan
Mike Weinstein: This is, the 5% to 7% organic top line that excludes currency but does that include the dilution or the 50 basis points dilution from transfusion therapy.
Rob Davis: Yes it does.
Mike Weinstein: So 5% to 7% is truly and organic number.
Rob Davis: Yes it is.
Mike Weinstein: And then what would be helpful on the gross margin commentary for 2010, obviously its tough for us to get exactly right the swing on your FX hedges and the impact that has on the gross margin line, if we looked at the organic gross margin progression from 2009 2010, ex the impact of the hedges, how would that look.
Rob Davis: So if you just adjust all that out we would really run, and actually maybe go back to 2008 just to give you a sense of the trend, we were 50.5% in 2008, 52.5% in 2009 and we’d be at 53.1% in 2010 so while this one-time impact of these hedges does distort the margin in 2010 from a percentage perspective if you look at the operational growth in our numbers, it is driving margin expansion going forward. And the other thing I would note is that while margin percentage is impacted negatively but because of those hedges, because we look at the benefit of absolute dollar increase in our sales due to true FX absolute dollars and margin will grow as it flows through the gross margin line.
Mike Weinstein: I want to step back to September and put 2010 in the context of your LRP, we’re fortunate in that you’re one of the companies that has an articulate a five year plan that you share with the street, you’re guiding over your LRP to organic top line of 7% to 8% and that’s pretty consistent across the three businesses, with 300 basis points of gross margin expansion and 400 basis points of operating margin expansion, in the context of the LRP and those five year guidance comments, how do you think about 2010.
Bob Parkinson: Well first of all its only been like four months since our investor conference but there’s nothing that’s changed since then that would suggest we would deviate from our long-term outlook, long-term aspirations. Obviously the guidance we provided in EPS growth in 2010, is right in line with the 11% to 13% compounded EPS growth that we projected over the LRP. So, in the context of EPS growth 2010 its just another year that I think supports and builds that long-term outlook. You’ve got a few puts and takes relative to the sales line in organic growth and just to remind you and I think everyone else, the compound sales growth that we projected really doesn’t reflect much of anything in terms of business development initiatives and so on. So, we’re hopeful that we’ll be in a position to maybe do a few things this year as well that will support that top line. But the EPS growth that we’re guiding for 2010 is right in line with the message for the long-range plan we communicated in September.
Rob Davis: I would just add that the gross margin percentage also if you look at what we really were projecting out it would have worked out to be about a 50 basis points growth year on year going forward in 2014 and as you saw from my comments we would have had that growth this year and we will have it terms of operational performance. Its being distorted again because of these hedge gains due to what happened with the currency last year. But from an operational perspective we’re right in line with our expectation on that metric as well.
Mike Weinstein: So gross margin progression is, in 2010 is consistent with the expectation over the course of the LRP, just the FX hedges, the EPS guidance is consistent with your comments for the LRP, the organic top line is below and this doesn’t surprise some of us, that its below what you’re guiding to for the LRPs, so maybe just want to add just one comment on that.
Rob Davis: Well I think, one, recall again the TT, that half point roughly if you adjust for that we’d be really in the 6% to 7% range, so I’m not sure, 6 almost 8% range, so from the way we would compare it to the LRP we’re maybe down less than a point from the long-term trend that’s to Bob’s point that trend will be adjusted for a lot of things. It doesn’t have the wildcards in it from our business development activities. It doesn’t have wildcards from all the R&D projects out there so, as we look forward and look back at frankly what we had projected for 2010 when we built the LRP pretty much going down the line items, we’re not really fundamentally off from our projections. To Bob’s point there’s puts and takes but I think the real message is we see the profile of what we’re delivering in 2010 with these expectations to be in line with what thought and in line with our long-term growth expectations and that’s why we’re not seeing any move off of what we already communicated.
Operator: Your next question comes from the line of Larry Keusch – Morgan Keegan
Larry Keusch: So first question just on the free cash flow obviously CapEx starts to level out here, your cash flow from ops continues to climb, so help us think about what, how you’re thinking about that excess cash that you’re throwing off and how does the acquisition strategy fit in. You really haven’t done much to date so I’d love to just get some thoughts on that.
Bob Parkinson: Let me maybe respond to that, we’ve been, Rob’s been, the company has been very clear in terms of our capital allocation strategy. We’re committed to continue to give value back to our shareholders both through buybacks, dividend increases, we took a nice dividend increase this year. It does provide us latitude to be more proactive in terms of deals. Frankly I’m hopeful that throughout the course of this year we will do more deals. The flywheel started a little bit last year with the Sigma deal, with the Edwards Lifesciences deal acquired in the CRRT business, frankly I’m hopeful and optimistic that you’ll see more deal activity out of us this year which will utilize some of that cash. But again I would reinforce very much in line with what we’ve communicated previously in terms of the types of deals that we think are complimentary to our existing businesses.
Rob Davis: I just would add that to Bob’s point, I think when we gave our long range guidance back in September the capital allocation discipline we put out there, we’re marching to that, so the CapEx we talked about today is in line with that and as you look at, to the point we talked about share repurchases, will continue as evidenced by what we’re going to do [inaudible] 2010 and the dividend which grew 16% from 2008 to 2009, we would expect obviously we’re going to continue to be committed to our dividend growing going forward. So I’d say all courses are continuing on that path we’ve laid out.
Larry Keusch: And then just a question on IVIG, I just want to make sure I understand so you are thinking mid single-digit growth there, if you could just give some color on how you’re thinking about price and then where are we with the contracts in terms of the tenders as you look at all of 2010 and then I guess a comment on market share why you think you’re losing some share at this point.
Bob Parkinson: There are several pieces of that, let me start with our long-term outlook for this business. We continue to believe what we communicated at the investor conference in terms of the long-term growth of this business is very much in tact. Relative to pricing, I want to be limited in what I say, clearly pricing in the market right now is reasonably flat. Going forward I don’t really want to comment on that given some of the situations that you’re familiar with that have transpired so, I won’t embellish beyond that in terms of price. In terms of volume without getting too detailed 2009 particularly the second half of the year there’s really been kind of a confluence of events that have gone on I think effecting both market volume and then also ours which gets to your share question which I’ll conclude with. First of all I do think there’s been some modest softening in the underlying demand of the entire market due to the macroeconomic environment. While largely Baxter has been fortunate to be relatively unimpacted by the macro environment I do think given how expensive this therapy is, individuals losing insurance, some things like that, I think it has had somewhat of a softening effect in terms of the underlying market growth in 2009. We also had the dynamic as you know earlier in the year with one of the major competitors going private to become a public company. There’s always dimensions that are associated with that kind of an event which complicate the market. I also think throughout the year there’s been a balancing of the channel inventory with underlying demand which I think as we go out the year has probably worked its way through. The other thing I would point out particularly in our case where we took a fairly significant price increase in January in 2009 in anticipation of that there was a bit of a pre buy I think from wholesalers to avoid the price increase late in 2008 which clearly didn’t occur this year so on a year to year comp basis that’s had a bit of a downward effect and then finally in the last point, yes I think we probably have lost a little bit of share. I don’t think its significant and frankly to the degree we have its probably share that we gained in 2008 and moving in even early into 2009. I don't think there’s any reason to believe that that’s going to change much going forward but I think in the second half of the year we probably did lose back some of the share gain that we enjoyed in 2008 and early 2009. So I’ll stop there, I’ve covered a lot of dynamics but I think its fair to say 2009 was kind of a transition year due to a lot of different dynamics but again, the long-term prospects for this business continue to be very positive for a lot of reasons not the least of which is antibody therapy has such a robust new product pipeline for us with the label expansion, the new indications and new delivery systems and so on. So our long-term view continues to be very positive about this business. So hopefully that touched on the various elements.
Operator: Your next question comes from the line of Bob Hopkins – Banc of America
Bob Hopkins: First question, I just wanted to follow-up on the warning letter for a second, could you just give a little bit more detail in terms of what specifically does it address and your confidence level that won’t disrupt the outlook for that produce in 2010.
Bob Parkinson: I don’t want to unreasonably alarm people, I just felt that, first of all we’re taking it seriously as we should but I don’t think there’s anything here to be alarmed about. As I commented there’s been no discontinuation of supply. Frankly we’ve had no reported adverse events. There’s no safety issues that we’re aware of. Its really knowing that this warning letter was issued, we were aware of it. Recognizing that its going to become public probably in the next number of days and given that we’re having our call today, not to raise it in the fashion that I did I think would be a little bit disingenuous. We’ve always frankly we’ve tried I think as you know to be as forthright and transparent with all of you as we possibly can be. So its really that simple. I’m going to ask Mary Kay maybe just to touch on a couple of elements of it just to give you a little more specific flavor in answer to your question, but obviously when the letter is out it will detail in greater detail.
Mary Kay Ladone: And we can talk more about it as well when the letter is public but basically the warning letter documents some deviations to [GMP] which resulted from an increase in the rate of filters becoming saturated or blocked. And the letter cites that we did not have complete investigations of those blocking events and we needed to understand the cause of those events and as Bob said, this didn’t result in any adverse events. Product testing was within all specifications. There’s no recall. The facility has an excellent track record from a quality perspective and we’re working diligently to provide a response to the FDA and resolve these issues.
Rob Davis: I would add one thing, the filters we’re talking about here are pre sterilization filters so this product given that it’s a biologic goes through multiple filters. This is a filter in the manufacturing process before we’re actually moving into the sterilization of that.
Bob Parkinson: So again just to close this out, just to reiterate, obviously we’re taking it very seriously but I guess I would suggest I don’t think there’s anything there to be alarmed about.
Bob Hopkins: And then to follow-up on antibody therapy for a quick second just to make sure I understand exactly what you’re saying, you are suggesting for Baxter mid single-digit growth on a constant currency basis in 2010 and you’re also expecting that that’s the growth rate for the market is that right.
Rob Davis: I think generally yes, we’ve talked about we saw maybe a little bit of softness in demand coming through the back half, I think we’re seeing some of that recovery even as we see data now. But to make sure we’re conservative we’re kind of looking at the market more in that range. But I think longer term we haven’t changed our view that the mid to high single-digit growth is going to get there and I wouldn’t be surprised if you see us getting back to that as we move into the rest of 2010 at the back half.
Bob Hopkins: And then just lastly on the US business which grew 4% was there any unit growth in Q4 for you in the United States.
Rob Davis: No.
Bob Parkinson: And a piece of that of course is as I mentioned was some of the pre buy in anticipation of the price increase a year ago. So that’s a piece of it.
Operator: Your next question comes from the line of David Lewis – Morgan Stanley
David Lewis: On the med delivery I guess the first is just looking at the Sigma performance in the quarter was much stronger than we would have expected does that suggest that there was some inventory stocking or customer stocking or do you think that reflects the true demand or underlying demand for Sigma.
Bob Parkinson: For Sigma specifically, no I think the product continues to go very well. If you look at overall med delivery I think as we commented in the prepared comments that we see the general momentum and growth in this business which is very encouraging. Obviously the Sigma deal that we did last year has been very helpful because of the obvious void that’s existed now for several years with [colleague]. But we feel good about how the med delivery is performing and are confident that that’s going to continue to build out in the future. I would say the Sigma device, we’re not going to get into specifics in terms of number of devices placed and so on but its being very well received in the marketplace. We’re actually quite pleased with how the device is performing, how its being utilized actually there’s a number of very large prestigious academic medical centers that are using the Sigma device right now which is a great validation I think of the product and the technology. So in general we feel pretty good how things are going in med del.
David Lewis: And you talked both at the analyst day and recently publically about in the near-term sort of an increased reliance on renal and med delivery versus biosciences, do you think that reliance as you look at the near-term operating plan has happened earlier than you would have liked or roughly equivalent to when you would have expected it.
Bob Parkinson: The reliance on the, or the expectation of the med del and renal business is growing.
David Lewis: That’s right, that re acceleration of those businesses versus bioscience.
Bob Parkinson: To be very candid if I go back almost six years now when I came here I would have expected and hoped that both those businesses would have had a resurgent before now. We have been fortunate that the bioscience business has performed so strong. Frankly its provided a little more time to get things aligned in both renal and med delivery but I think, so we have preferred, I frankly would have expected it to happen a little bit sooner. There’s reasons that it didn’t but its happening now and I’m confident that that’s going to continue and its happened at a great time so I think it speaks to again part of the power and of the flexibility of the diversified healthcare model.
David Lewis: I think the fourth quarter antibody therapy numbers I think were largely expected, I think what I think investors would like to know is heading into 2010 is your guidance predicated on stable share and is your guidance predicated on inventory levels that are sort of flat with the fourth quarter i.e. what’s giving you the confidence that we don’t see further erosion in those two dynamics.
Rob Davis: The answer to both those questions is yes, we are assuming generally stable share throughout 2010. as Bob mentioned some of the share loss we think we’ve seen in the back half of 2009 is giving back share gains we had in the past years as you know there was competitive issues with the product in the marketplace. So we do expect stable share and we do believe that we’re starting to see more normalized inventory levels in the channel so hopefully some of the noise that’s created in the back half of 2009 versus 2010, we’re not expecting to see that, the back half of 2009 versus the first half of 2009, sorry about that, but we’re not expecting to see that in 2010.
Operator: Your next question comes from the line of Bruce Nudell – UBS
Bruce Nudell: Just turning once again to IVIG is it a fair set of assumptions to assume that volume demand in the US for the market next year is going to be kind of in the low single-digits and an equal amount above single-digits ex US to get you to around 5% volume demand.
Rob Davis: I think just to restate your question I guess you’re asking to get to our mid single-digit guidance are we assuming that there’ll be a little bit faster growth outside the US then in the US, the answer to that is yes.
Bruce Nudell: And is the industry, what is the industry doing and what are you doing in terms of either patient assistance and/or greater detailing to kind of build markets which the industry really hasn’t had to do before.
Bob Parkinson: I’ll just comment on what Baxter is doing not the industry, we have added a number of sales people with the objective of really broadening access to this life saving therapy. We’ve talked about this before, PID is even in developed markets like the US is highly under diagnosed. And given as recently as a year, year and a half ago, when product supply was very, very tight clearly we were limited in our ability to get out with really sales efforts to educate physicians on the need to broaden access to this kind of therapy. So we have in late 2009, second half of the year really started to add sales people given the fact that now we have adequate inventories so that we can further that. And that really is the new dynamic, frankly I think it’s a new dynamic for the industry but in our own case certainly that’s a new dynamic going forward that I think the long-term prospects associated with that are very positive.
Rob Davis: I would just add that’s both in the US and outside the US and importantly we’ve been a long supporter of the Jeffrey Modell Foundation and their efforts to educate patient, doctors, on how to diagnose, how to understand this. We have supported the opening of Modell Centers for instance in Brazil, we’re looking at them now in Europe so we’re also doing it by expanding our support of groups out there that are trying to make sure we do get the education done both in the US but importantly outside of the US as well.
Bruce Nudell: And just to follow-up on the vaccine side, should we be thinking about H1N1 as a recurring thing beyond 2010 or should we really be shifting our attention to the seasonal flu opportunity which is more of an annuity.
Bob Parkinson: Let me take that, I want to go back to a comment that I made last quarter where I said we believe that our flu technology provides for Baxter long-term a material opportunity. And as we sit here today I would say the same thing. While the whole H1N1 experience has evolved in ways that were unanticipated and so on, including now in many countries, they’re being an excess supply, I will tell you and others listening in its frankly its one of the reasons last quarter we didn’t get out over our ski tips on creating expectations for sales that I think were unrealistic because we realized there was as many unknowns as knowns. And in retrospect I’m glad we handled it exactly that way. I’m not sure how big the opportunity for H1N1 is going forward, but I think the opportunity for Baxter and its been instructive through the last few months. I think wealthy countries as an example realized that whether its H1N1 or some other pandemic or even perhaps seasonal flu because the same manufacturing facilities of the established vaccine manufacturers have to produce seasonal as well as a pandemic if in fact there’s a need. Many countries have realized the need to establish some semblance of self-sufficiency. So as we evaluate our technology which we believe is the leading technology in this area, we think there are great opportunities in terms of tech transfers. I will just tell you we’re having active discussions with several countries around the world right now to partner with them on our technology which will represent value to Baxter. I think its also interesting to note that while you read almost every week about excess supply of H1N1 and how its being returned we actually are in the midst of a number of active discussions with various countries for advanced purchase agreements in other words where they want to reserve a slot or a percent of our capacity for our technology which I think is instructive relative to how they’ve been educated through this process and how they need to be prepared. So there’s going to be an attractive opportunity for Baxter given our leading edge technology. Its just going to manifest itself in a way and at a time that maybe is a little bit unconventional. Having said that we continue as I commented in my prepared comments to advance registrations around the world on the seasonal flu and we think that will provide an ongoing opportunity as well. So I covered a lot there but hopefully that got your question.
Bruce Nudell: Just one final quick one, just to put some concreteness towards the M&A side you are repatriating cash this year.
Rob Davis: Yes we are continuing to repatriate cash so as we look at acquisition opportunities as we look at our ability and need to fund the share repurchase we had contemplated what would be our [US cash position] in all of the plans we’ve laid out so we are comfortable we have cash where we need it to do what we want to do.
Operator: Your next question comes from the line of Matt Miksic – Piper Jaffray
Matt Miksic: So one quick one here on the outlook for 2010, just to be clear this 5% to 7% constant currency does that include the 50 basis point  hit because of the discontinuation of transfusion therapies revenues, is that right.
Rob Davis: Correct.
Matt Miksic: And was there any other sort of one-off comparisons that we should be thinking about or aware of.
Rob Davis: No really that, as you look going backwards that’s really the last of the historical items we would adjust for.
Matt Miksic: And then one on vaccines, you gave what is a 75 or $85 million number, $75 million number of 2010 any color on your expectations for the composition of that APA versus actual revenues, maybe what some of your assumptions are there.
Mary Kay Ladone: Just a clarification, $75 million was 2009, $85 million will be 2010.
Matt Miksic: And the composition or what your assumptions are in there.
Mary Kay Ladone: I don’t think we’ll break it out because we do have H1N1 orders primarily in the first quarter and then APA revenues throughout the rest of the year.
Matt Miksic: And any increase in revenues may be offset by sort of the discontinuation of APAs is that the thinking. So APAs in other words to the extent that you’re, these APAs would these be new APAs established in 2010.
Mary Kay Ladone: Yes.
Matt Miksic: And then on, I know you have outlined there’s been a number of these sort of wildcard opportunities and I know its difficult to ask you to pick among them, but it would be helpful for us with the rehydration launch underway, maybe what’s the next thing that you see coming that you’re excited about and sort of the pipeline of products maybe in late stage development in terms of your wildcards, things not necessarily built into your long-term plans.
Bob Parkinson: In the interest of time maybe what I’ll just do is give an example of one in each of the business, home hemodialysis we think has the prospects of transforming treatment of end stage renal disease so we’re very excited about the prospects of that in our renal business and medication delivery I would say, the [inaudible] and expanded indications over time, the product is being very well received in the area of pediatric hydration and we continue to evaluate other indications for that technology for drug delivery. And in bioscience there’s really a lot of stuff I think of the Phase III things clearly the [Sub Q] delivery utilizing enhanced for the administration of Gammagard is also very exciting. So again in the interest of time, we really can’t get into too much depth but that would be one that would come to mind in each of the three businesses that I’m excited about.
Operator: Your next question comes from the line of Ben Andrew - William Blair
Ben Andrew: Just wanted to follow-up on the med delivery side because there was some nice strength there particularly OUS compounding, is that a potential area of significant M&A activity for you this year and are there kind of assets out there that would be nicely complementary in accelerating the top line.
Rob Davis: That is an area obviously that as  many others we are looking. I don’t think I would view that as an area of material size deals but clearly as we look at opportunities around the world we’re constantly looking to see if there are markets where we could expand our footprint in this area. And we have done some small ones in the past and my guess is we’ll continue to do some small ones in the future probably the size of which might not hit the radar screen but are what’s driving the growth we’re seeing.
Bob Parkinson: Frankly the compounding business really isn’t going to be driven by deals, its really taking established models that are successful in certain countries and expanding geographically on a country by country basis with really a proven process and where we can get the kind of returns that we want. So that’s really the growth strategy in compounding, its more geographic expansion then it would be deals.
Ben Andrew: And then on your guidance for med delivery, what are you baking in for timing of full return to the US of colleague.
Rob Davis: We’re [inaudible] colleague sales in 2010.
Operator: Your final question comes from the line of Rick Wise - Leerink Swann
Rick Wise: If I could ask a bigger picture question, sort of a two part, this is the first quarter I think since maybe since you got there that Baxter didn’t exceed consensus and I’m trying to, is there any message in this. I know the environment is complicated. I’m not trying to take away from the excellence of the quarter but just wondered your thoughts on your either willingness or desire to this under promise outperform mode you’ve been in for the last five years. And more specifically even though we’re still seeing positive leverage on the EBIT line, operating income grew faster than sales, nicely faster in the quarter and for the year again, it was still the lowest rate of exceeding I think in a few years as well, just curious to hear your thoughts on sort of leverage and outperformance and are you setting the stage larger picture here for your, to be able to do some more deals this year which might be dilutive or is this the environment, sorry for the big question here.
Bob Parkinson: We’re feeling pretty good about the quarter, sorry to disappoint you. Let me kind of take it a piece at a time. You’re right, we didn’t beat I guess the guidance on EPS basis. Obviously our tax rate bumped up so if you adjusted for that we probably beat by a penny or two, I didn’t calculate the actual numbers. So, if we would have beat by a penny and we’d have gotten $0.02 because of the favorable tax rate we probably would have [heard] that the other way, so I would just leave it at that. In terms of the leverage and the prospects of the profile improving over time, I just reiterate what Rob touched on earlier both the gross margin and pre-tax operating margin as a percent of sales, there is no reason to expect that we’re going to deviate from what we messaged everyone at the September conference. But no, there’s nothing going on here to set the stage for anything in terms of deals and so on. We have the flexibility, the latitude, the financial strength to do what we need to do. We’re not anticipating doing deals that are going to be dilutive that we’re going to then set the stage and manage that way. We’re going to pursue deals that make sense strategically, that create value for our shareholders, that fit within our disciplined set of financial parameters and evaluate those on their merit going forward. But I wouldn’t read too much into it and try to think there’s some magical plan behind all this.
Rick Wise: I just want to make sure I understood what you were saying on the LRP, am I right in remembering that the LRP is the base case and does not include business development and wildcards, is that what you said in the past, is that different or the same now and then just an update on the Alzheimer’s trial data, when do you think we might see that and maybe an update on progress with the Phase III trials.
Bob Parkinson: Yes, the LRP growth fundamentally does not include any BD deals, in other words we don’t have a gap in there that needs to be filled by BD deals. So anything we would do would be incremental. That largely would apply to the wildcards although obviously certain programs that we characterize as wildcards such as the flu program a couple of years ago is starting to translate into value and so some of that is represented in the long range plan, although I would suggest its probably not an excessive number at all. So I would think largely it doesn’t reflect the wildcards as well. So just as a matter of clarification hopefully that helps. On Alzheimer’s, Mary Kay, why don’t you go into the details of this, make sure I don’t misspeak.
Mary Kay Ladone: The Phase II 18 month data is do out in the first half of this year either at AAN which I believe is in April, or ICAD in July. We also believe that Dr. [Ralkin] is looking to have this data published in the peer review journal. The Phase III I think Bob commented on it in his opening comments is going well. We’ve enrolled more than 50% of the patients. We expect to complete enrollment by the end of this year. We do have 18 months of follow-up required so looks that we’ll complete the trial in 2012 and we may have the preliminary results by the end of that year, 2012.
Operator: There are no additional questions at this time; thank you for participating.